Operator: Good afternoon, everyone. Welcome to the Jamieson Wellness Conference Call to discuss the financial results for the third quarter of 2025. [Operator Instructions] Please be advised that the reproduction of this call in whole or in part is not permitted without written authorization from the company. As a reminder, today's call is being recorded. On the call today from management is Mike Pilato, President and Chief Executive Officer; and Chris Snowden, Chief Financial Officer. Before I turn the call over to Mr. Pilato, please note that a press release covering the company's third quarter financial results was issued this afternoon, and a copy of that press release can be found in the Investor Relations section on the company's website. Please note that the prepared remarks, which will follow, contains forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We refer you to all risk factors contained in Jamieson's press release issued this afternoon and in filings with the Canadian Securities Administrators for a more detailed discussion of the factors that could cause actual results to differ materially from those projections and any forward-looking statements. The company undertakes no obligation to publicly correct or update the forward-looking statements made during the presentation to reflect future events or circumstances, except as it may be required under applicable securities law. Finally, we would like to remind listeners that the company may refer to certain non-IFRS financial measures during the teleconference. A reconciliation of this non-IFRS financial measures was included with the company's press release issued earlier today. Also, please note that unless otherwise stated, all figures discussed today are in Canadian dollars and are occasionally rounded to the nearest million. I will now turn the call over to Mr. Pilato to get started. Please go ahead, sir.
Michael Pilato: Thank you, Constantine, and thank you to those joining the call to discuss our Q3 results. I'm on the line today from our Jamieson office in Shanghai, and we'll be heading over to join the team at the China International Import Expo later this morning. More on that in a moment, but good morning to those listening at 6:00 a.m. here in Shanghai, and good afternoon and good evening to those of us back home in North America. I'll start with an overview of our Q3 performance and highlights. Chris will then review the financials in detail before I conclude our prepared remarks and open the floor to questions. In Q3, we delivered another strong quarter with 16.5% branded growth and momentum across every major region. In China, our revenue was up over 60% in the quarter, and we grew our share position across all major digital platforms. We are proud to share that Jamieson was recently named Vitamin Mineral Supplements' Store of the Year on Douyin, one of the top social and e-commerce platforms in the country with over 700 million daily active users. Our team on the ground here in Shanghai continues to actively evolve our marketing strategy to stay in line with consumer trends and behaviors, and it is paying off. Programs amplified by a diverse network of respected wellness influencers are delivering solid results across multiple platforms and channels. We're also continuing to see growth in our club and retail channels in China and significant gains in consumer trial and key brand equity metrics as we continue honing our marketing programs for maximum consumer engagement. Youtheory continues to scale with revenue growth of almost 17% in Q3. Strong growth in both digital and traditional channels was led by product innovations, including our new Ashwagandha Gummy, in line with increasing consumer demand we're seeing for this ingredient in major markets around the world. Deeper consumer engagement with the brand continues to be a focus as our marketing and innovation teams continue to work together to meet evolving consumer needs. Internationally, revenue was up almost 20% in the quarter. We're driving double-digit growth in key markets led by the Middle East with strong gains in markets such as Saudi Arabia, where Jamieson now ranks as a leading foreign brand. We continue to see strong execution of promotional campaigns in support of the magnesium category and health heart in key markets as an example. In Canada, our marketing campaign featuring our product quality and Canadian-made message continues to resonate, driving growth and reinforcing trust in a market where we are the category leader. Innovation is also a key driver of growth with our expectations for the year exceeded at the end of September, 3 months ahead of schedule. This is largely due to our new magnesium product launched earlier this year, resonating strongly with consumers in this trending category, overdelivering versus our expectations. We continue to closely monitor innovations launched last year, and those two continue to perform, led by Ashwagandha and Iron Gummy products, highlighting the importance of the fun and delicious formats that Jamieson is known for. We are not taking our foot off the gas in Canada. Products launched in the past couple of months will continue to drive performance through the end of Q4. As a result of our exceptionally strong branded performance, we've increased the midpoint of our branded revenue guide for fiscal 2025 and raised the top end of our revenue expectations for both China and youtheory, which Chris will discuss in more detail shortly. Our results this quarter and the quarters before it continue to reinforce what we already know. Momentum in the vitamin, mineral, supplement category continues to be strong with no signs of slowing. Consumers continue to increase the amount of time they spend online, focusing on education while engaging with digital communities to support their health and wellness journey. It is imperative that we understand this rapidly and changing environment and continue to show up where and how our consumers expect us to. In support, I am pleased that we have welcomed Gayle Tait to our Board of Directors effective at the end of October. Gayle is a CPG and tech executive with over 25 years' experience, including roles at Google and L'Oreal. She has an impressive track record of driving enterprise expansion and value, particularly through digital innovation in both C-suite and board roles. She currently serves on the Board of a leading cosmetics and skin care company, where she has helped guide the company through a period of hyper growth, pioneering in nontraditional digital channels to drive connection with consumers. Gayle’s appointment comes at the perfect time as Jamieson's digital journey continues to evolve, and we look forward to leveraging her expertise and insights as we grow. And as I mentioned earlier, I'm in Shanghai this week supporting our team at the China International Import Expo. As our presence in China continues to grow, events like this offer fantastic opportunities to bring Jamieson to the forefront with local and international media, industry, consumers and also a chance to continue to foster relationships with officials at all levels of government. This is Jamieson's first time attending this expo, and I'm really looking forward to experiencing it firsthand and representing our incredible brand on this global stage. And with that, I will turn the call over to Chris to discuss the financials in more details. Chris, over to you.
Christopher Snowden: Thank you, Mike, and good morning and good afternoon, everyone, wherever you may be listening from. In the third quarter, consolidated revenue increased by 13.2% to $199.3 million. Growth was driven by our Jamieson Brands segment, which exceeded expectations with growth of 16.5%, increasing to $180.5 million. Each of our branded business units grew revenue in the third quarter as follows: China increased by 63%, primarily driven by successful digital performance marketing campaigns. Youtheory increased by 16.8%, driven by strong consumption in e-commerce, innovation and growth in our traditional channels. International increased by 19.3%, driven by growth in core markets in the Middle East and innovation and with distribution gains. Canada increased by 4%, largely reflecting consumer consumption driven by our latest marketing campaign and innovations. Revenue in our Strategic Partners segment had expected decrease of $2.4 million in the third quarter, impacted by a reduction of our consumers business and timing of our onboarding new customer contracts. Consolidated gross profit margin increased by $16 million in the third quarter, mainly driven by higher branded revenue and margins. Consolidated gross profit margin increased by 350 basis points, mainly due to a higher proportion of growth in Jamieson brand sales. In the Jamieson Brands segment, gross profit increased by $16 million, mainly driven by revenue growth and higher margins. Gross profit margin in Jamieson Brands increased by 290 basis points, mainly driven by higher branded volumes in China, our highest margin business. In Strategic Partners, gross profit was $2.4 million, which is consistent with the same quarter of last year, and gross profit margin increased by 170 basis points, mainly driven by customer and program mix. SG&A expenses increased by 24.7% in the quarter. Excluding the impact of specified costs, SG&A expenses increased by $12.2 million or 31.7%, of which approximately $6.8 million was mainly due to the timing of variable compensation and $5.3 million was due to investments to grow our brand through variable e-commerce marketing campaigns and the weighting of influencer programs scheduled for the quarter. Specified costs of $1.8 million are mainly comprised of system development costs and post-implementation start-up costs associated with our SAP implementation, plus other nonrecurring expenses primarily related to nonoperating legal costs. Operating income increased by $5.4 million, driven by higher gross profit and partially offset by our investments in SG&A. On a normalized basis, operating income increased by $3.6 million and Adjusted EBITDA increased by $4.1 million to $38 million. Adjusted net earnings was $17.7 million or $1.8 million higher than the third quarter of the previous year. A reconciliation of Adjusted EBITDA and Adjusted net earnings is provided in today's press release announcing our third quarter results. Turning to the balance sheet and cash flow. We generated cash from operations before working capital considerations of $22.8 million, an increase of $4.3 million from the prior year. Cash invested in working capital increased by $20.8 million, mainly due to higher inventories to support seasonality, including growth of our business and help secure supply amidst tariff uncertainties and port congestion. In the third quarter, we purchased for cancellation 255,705 common shares under our NCIB program for aggregate consideration of $8.8 million at an average price of $34.52 per share. In Q3, we distributed $9.7 million in dividends and ended the quarter with almost $128.8 million in cash and available operating lines. Based on the strength of our cash flow forecast in the year, we have announced a dividend of $0.23 per common share or approximately $9.6 million in aggregate. The dividend will be paid on December 15, 2025, to common shareholders of record at the close of business on December 1, 2025. Now turning to outlook. Our 2025 investments in digital performance marketing and innovation continue to provide returns, while consumer consumption remains strong across each of our primary markets. As a result, we have narrowed our full year guidance for fiscal 2025, maintaining the midpoint of our growth expectation for both consolidated revenue and Adjusted EBITDA. We now expect the following consolidated results: revenue to range between $810 million and $830 million, 10.4% to 13.1% growth from our previous expectation of 9% to 14.5% growth. Adjusted EBITDA to range between $158 million and $162 million or 12% to 15% growth from our previous expectation of 11% to 15.5% growth; Adjusted diluted EPS to range from $1.82 to $1.88 or 13% to 17% growth from our previous expectation of 11% to 18% growth. We are adjusting our segment outlook for fiscal 2025 to reflect higher Jamieson Brands revenue in China, driven by continued success of our digital investment strategy, innovation and category growth and lower strategic partner revenue to account for the planned reductions with an existing customer and timing of onboarding our new customers and programs. For Q4 2025, our guidance reflects continued Jamieson Brands growth, building upon strong momentum in the first 3 quarters of 2025. Jamieson Brands business is based on strong consumer consumption, product innovation and distribution gains. In the fourth quarter of 2025, we expect the following: consolidated revenue of between $263 million and $283 million, reflecting growth of 7% to 16% Revenue in the Jamieson Brands segment is expected to increase by 8% to 17.5% to approximately $218 million to $238 million, driven by consumer demand, innovation and growth across all key markets. Revenue in the Strategic Partners segment is expected to grow by up to 10% to approximately $45 million due to new business partnerships. We anticipate Adjusted EBITDA to range from between $65.8 million and $69.8 million [Audio Gap] as well as [Technical Difficulty] performance is included in the outlook section of our MD&A filed this afternoon. And with that, I will turn the call back to Mike for closing comments. Mike?
Michael Pilato: Thank you, Chris. Even against a volatile macro backdrop, our category continues to prove its resilience. Vitamins, mineral, supplements is increasingly central to how consumers care for themselves and their families. And with our diverse and growing branded platform, we're uniquely positioned to meet them across geographies, across channels and across life stages. As we wrap up a successful 2025, we will continue to execute on our strengths. We will further grow our platform to drive profit, taking advantage of the growing momentum in China and digital growth and innovation in the U.S., Canada and internationally. Thanks to our entire team for delivering on our strategic road map and their dedication as we set our sights on a strong finish to the year. Now over to questions that people have. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Nevan Yochim from BMO Capital Markets. Please go ahead.
Nevan Yochim: You got Nevan on for Steve tonight. Hoping we could start on youtheory. Strong momentum in the quarter, which you mentioned was supported by innovation. Can you talk about the timing of the key product launches this year? Are those all in the market now? And then should that mean we would expect accelerating growth into the fourth quarter of the year?
Michael Pilato: Yes. So we started shipping the innovations in mid- to late Q3, and you'll see some of that continue to ship in early Q4. And as Chris mentioned earlier, you see our guidance in the fourth quarter. That's all built in. So we expect a strong Q4 coming off from the strong Q3 and continued momentum on youtheory to finish the year, as we've been talking about all year based on the timing of innovations moving from front half a year ago to back half this year.
Nevan Yochim: And then on the domestic market, I believe the majority of the Q3 growth was driven by consumption rather than pricing. Can you confirm that's the case? And are you able to provide an update on some of your initiatives to gain your fair share of shelf space with existing customers?
Michael Pilato: Yes, that's a great question. Yes, you are 100% correct on the first part. Our consumption was in line with the growth that we -- it actually was in line with the growth that we delivered, so it's consumption based. We saw continued mid-single-digit consumption, both in units and dollars in Canada and are quite pleased with what we're seeing for sure. When it comes to some of our projects and innovation, it really, really is outperforming what our expectations were on the year. We're seeing great take off on our magnesium product and on some of the innovations we launched a year ago, which are picking up strength through the year. As we talk about often, right, in our world, innovation is about laying down bunts and singles and over time, they turn into doubles and triples. And we're really starting to build some momentum on the products and the innovations we've launched over the last couple of years. And sorry, Nevan, what was the second part of the question?
Nevan Yochim: Just how you're doing in terms of your initiative to gain your fair share of shelf space with existing customers?
Michael Pilato: Yes. So I mean, gaining fair share and continuing to grow shelf space is key in our world as we continue to grow. We are continuing to pick up some shelf space across the category. We have an entire category management team. I mean that's pretty much what they do. They focus on helping retailers drive category growth. And as the market leader, it's our responsibility to help them drive that with our brand and with other market-leading initiatives. So that project is ongoing. It is always in the works, and we continue to enjoy at it quarter after quarter and year after year.
Operator: Your next question comes from the line of Zachary Evershed from National Capital Markets.
Zachary Evershed: Congrats on the quarter. So guidance for working capital goes up a bit, reflecting the higher inventory for tariff mitigation strategies, among others. Can you give us an update on your weighted average tariff rate at this point in time?
Michael Pilato: We don't really talk about our weighted average tariff rate, Zach, as we've talked about for multiple quarters now, we have a very flexible supply chain. We continue to leverage all of our different manufacturing facilities and our sources of product to minimize the impact of tariffs as much as we can. As we've talked about, there is an immaterial impact to our P&L this year that we've balance across our platform. However, in doing that, as we're moving some production and we're moving some things around the system where we're sourcing from and how we're sourcing, we have increased our inventory position just to make sure we're in a good spot in terms of delivering to what consumers' needs are. But there's not really a weighted average percentage tariff rate that, a, we would be comfortable releasing or two, that would even be something that just is static. It kind of moves around based on demand and based on what we're sourcing. But we have mitigated most of the impact this year, and we have an immaterial amount baked into the guidance at this point.
Zachary Evershed: And with the uptick in buffer inventory, any risk of finished goods or raw materials obsolescence?
Michael Pilato: No, there's been no increase in that. No, we don't see any increase in risk and risk around that. We do have a strong Q4 to ship over the quarter. We'll continue to go through some of the raw materials in Q1. And where we see opportunities to make purchases that can mitigate risk, we'll take those opportunities.
Zachary Evershed: And just one more. What are your thoughts on the [indiscernible] acquisition? Any read-throughs to transaction valuations or the competitive landscape?
Michael Pilato: I mean I don't really have a take on it that would relate to our business. It's obviously the combination of two massive CPG companies. It was nice to see, I would say, that a big strategic is looking closely and acquiring in the health and wellness space. I think it speaks to where the consumer is headed here, both from a vitamin, mineral supplements perspective and just health and wellness overall. But no real read that I would attribute to anything in our world just based on the sheer scale and size of those two organizations doesn't really relate to us.
Operator: Next question is from Ryland Conrad from RBC Capital Markets.
Ryland Conrad: Maybe just starting on China, curious how you're feeling about the -- your positioning for the 11/11 promotional period next week. And then just the guidance does imply a deceleration in Q4. And I know it's a tougher comp, but just thinking back to your performance around 6/18, I was just wondering if there's a bit of conservatism in the guide?
Michael Pilato: Yes. Thanks, Conrad. We feel really good about 11/11. I mean the one thing just to note is 11/11 is not just a 1-week promo. It started weeks ago. It will finish next week. It is a 4- to 6-week promotional window now in China. We're feeling good at this point. We'll see where it all ramps up in a week, and we'll roll those results into our Q4 results. I will be here on 11/11 with some customers on the final day, and I'm looking forward to that and just seeing some live streaming and some of the great things going on around our brand. When it comes to our guide for Q4, it is a little bit lower. We are up against a really big comp from a year ago. If you remember, our momentum just kept building and building. I would not call it a conservative guide at this point. I would call it a responsible guide. We're trying to guide that business responsibly every quarter. We're also focused a little more on higher ROI return programs at this point. We've been making money in China. We've been doing well in China. Our margin has continued to expand, and we're looking for more efficiency and effectiveness from an ROI perspective in our programs through Q4 and into 2026.
Ryland Conrad: And then just on the opportunity with Sun Art in China. I understand their 500 stores are spread across various formats, and it's still pretty early days there. But is there any way you could help us kind of understand the magnitude of that opportunity just in the context of your kind of overall retail distribution in China at this point?
Michael Pilato: Yes, it's still very early days going into a testing module. I mean it's a great acquisition by our partner in DCP and a retailer that didn't -- hasn't really played traditionally in this category, so we're testing out the category, leveraging our brand, and we'll see. I would just follow our guide through the quarter through next year and any upside we see in that or any opportunity we see in that opportunity will be built into that opportunity. Of course, we're optimistic and looking forward to driving growth with them and believe it will be successful. But we like to test our way in. We like to try a few different things. And as we find the winning proposition for Sun Art and that acquisition, we'll be sure to talk about it more.
Ryland Conrad: And then just shifting gears to youtheory and the runway for digital growth there. I guess now that you have the e-comm partnership that seems to be going quite well, what inning would you say you're in just with respect to increasing that penetration in line with the broader market?
Michael Pilato: I like the baseball analogy coming off the World Series, Conrad. I would say third inning. I would say third inning. I think we're getting bigger in the U.S. in digital with youtheory. But as we talked about all along, the category in the United States, about 30% to 40% -- 25% to 35% of the category, I'd say, is driven through the e-commerce channel and continues to grow. We are playing catch-up. We said it would take a few years to catch up. And I'd say we're in the third inning, hopefully entering the fourth by the end of the year.
Operator: Your next question comes from the line of Justin Keywood from Stifel.
Justin Keywood: Nice to see the results. On the mention of the Middle East driving international growth at a combined rate of 19%. Are you able just to provide some additional color on that geography? Is that relatively new opportunity for Jamieson? What proportion of the overall business or the international segment is that? And how should we be looking at the growth outlook there?
Michael Pilato: Yes. I mean Saudi Arabia is a growing country in vitamins, minerals and supplements. They -- we've been growing there for some time, Justin, and thank you for the congrats. It's been growing there for some time. But it's really accelerated in the last, call it, 18 months as the government has opened up the regulatory world a little differently and given access to more categories and more products that we're able to slip into and slide in and really grow our business. We've picked up a lot of new distribution. We've had a lot of innovation in the market. And we have an extremely good partner in Saudi Arabia that we've been working with for some time. It is a material country in our international business. It is in the top 3 countries. It might even -- this is just about to become #1, I believe. But it is growing. We expect it to grow for some time. And we have focused our strategic efforts with our partner in Saudi to take advantage of what could be a growth opportunity for a while.
Justin Keywood: Is there any indication just for context on the TAM in Saudi Arabia or Middle East as compared, obviously, the U.S. is the #1 followed by China, but just in ranking the overall opportunity?
Michael Pilato: Well, I mean, it's not a big country like China or the United States. So it's not going to become something to the size of the opportunity there. But what I can tell you is it's a growing market, double-digit growing market. We're outpacing the market by 3x right now. And as that country focuses on growing its population base and its economic engine as a country, the category will continue to grow. But I mean, it's a relatively small country in comparison to China and the United States and the opportunities that present themselves there.
Operator: Your next question comes from the line of Derek Lessard from TD Securities.
Unknown Analyst: This is [Ryan Singh] in for Derek. Congrats on the quarter. Are there any signs, would you say, of consumer weakness or even a trade down in any of the markets, either domestic or globally?
Michael Pilato: No, we continue to not see trade down happening in any of our data points. We continue to see consumers look for value and shift to channels that are digital or club in nature where they feel they can get value for their dollar. But we are seeing growth across lots of -- pretty much every channel and not seeing any trade down at all from a brand perspective that we've seen in our data points at least.
Unknown Analyst: And then maybe just one follow-up, and I appreciate the color you guys have already given on the domestic market. But -- is there anything else that's noticeable about the Canadian POS landscape you've been seeing? Any detail there would be great.
Michael Pilato: Any detail on the POS landscape? Sorry, you cut out there for a second, Ryan?
Unknown Analyst: Yes, detail on the POS landscape in Canada.
Michael Pilato: Yes. I mean what I would continue to say is we're continuing to see good growth in Canada outpacing market in both units and dollars in that mid-single-digit range. We continue to see the retailers highly engaged in the category and wanting to grow. We continue to see growth across categories like sleep and stress and energy. The trends that we've been talking about for the last couple of years are continuing here in Canada as Canadians continue to get more focused on proactive health and really, really trying to become healthier as a country. It's been a nice thing to see globally, and those trends continue to hold here in Canada.
Operator: [Operator Instructions] Your next question comes from the line of Tania Armstrong from Canaccord Genuity.
Tania Gonsalves: Just a couple for me here. First on, I guess, China, as you reported really good revenue growth there, primarily driven, I think you said digital marketing and influencer campaigns. I guess this is a more high-level question, but can you help us understand what the payback horizon is for that kind of marketing, so influencer investments, digital marketing, what the customer acquisition cost is, repeat purchase rates, lifetime value, things like that?
Michael Pilato: Well, Tania, what I would tell you is the ROI is immediate, like we pay back immediately. We're profitable in China. We make money every day here. And as we've talked about in the past, we don't release any of those numbers publicly for competitive reasons. However, what I can tell you is we've seen strong growth across all platforms. We've seen strong growth in brick-and-mortar. We're starting to really see the halo effect of our investment in digital -- in social commerce spreading across multiple channels and multiple platforms, and we're quite pleased with that. We've also seen a little bit of a strategic shift from our team here, moving from -- not moving, but mixing up like mega KOLs or big KOLs with micro influencers and improving the ROI on our digital spend every quarter this year, and we'll continue to perform that way. The other thing I would share is in our brand health metrics, we continue to see our brand grow from a brand health perspective and all the research we do, which is telling us that the baselines and the repeat rates of the consumers in China are continuing to grow. And I think you can see that in our results quarter after quarter in the last couple of years.
Tania Gonsalves: And then just secondly, you've talked a lot about innovation leading growth this year. So like your Ashwagandha gummies, new formats, et cetera. Can you help frame how this innovation pipeline typically impacts gross margin as you scale into these new products? Are product intros generally margin accretive or dilutive in the first 12 months? And do you see this current cohort that you've launched this year trending better or worse than historical innovation cycles in terms of growth and accretion?
Michael Pilato: Yes. From an innovation perspective, we have very specific process. It's a Stage-Gate process that we use here at Jamieson. If you go back to some of the things we've talked about over the last couple of years, we operate in like a 3-year innovation cycle in a lot of cases. We tend to know what we're launching a year, 2 years and even up to 3 years from now. Obviously, trends shift and change, and we'll adjust the pipeline as we go, but we have a good view out to the future. We have a very robust and disciplined process for innovation like we do on everything we do. And in there includes gross margin expectations for innovation. It is always our goal to launch at a higher gross margin or at worse neutral. We don't typically launch things at a less than current gross margin structure. It's not within our mandate or the way we operate. And I would say the latest innovations are, on average, neutral to slightly positive on average across the board.
Operator: Thank you very much. There are no further questions at this time. This concludes today's conference call. Thank you very much for your participation. You may now disconnect.